Operator: Good day, everyone, and welcome to the Blucora second quarter earnings results conference call. This call is being recorded. With us today from the company is the President and Chief Executive Officer, Bill Ruckelshaus; Chief Financial Officer, Eric Emans; and the Senior Director of Investor Relations, Stacy Ybarra. At this time, I would like to turn the call over to Stacy Ybarra. Please go ahead, ma'am.
Stacy Ybarra: Thank you. Good morning, and welcome to Blucora's investor conference call to discuss the second quarter 2013 earnings and the announcement our company made this morning, the acquisition of Monoprice. A press release announcing the transaction was issued earlier this morning and can be accessed through the Investor Relations section of our website at www.blucora.com. There is also a slide presentation with additional details regarding the transaction, which is available for download on our website. Before we begin, I'd like to remind you that during the course of this call, Blucora representatives will make forward-looking statements including, but not limited to, statements regarding Blucora's expectations about its products and services, outlook for the future of our business and growth initiatives and anticipated financial performance for 2013. Other statements that refer to our beliefs, plans, expectations or intentions, which may be made in response to questions, are also forward-looking statements for purposes of the Safe Harbor provided by the Securities -- Private Securities Litigation Reform Act. Because these statements pertain to future events, they are subject to risks and uncertainties, and actual results could differ materially from our current expectations and beliefs. Factors that could cause or contribute to such differences include, but are not limited to, the risks and other factors discussed in Blucora's most recent annual report on Form 10-Q on file with the Securities and Exchange Commission. Blucora assumes no obligation to update any forward-looking statement, which speak only as of the date the statement is made. In addition, during this call, our management will discuss GAAP and non-GAAP financial measures. In the press release, which has been posted on our website and filed with the SEC on Form 8-K, we present GAAP and non-GAAP results along with reconciliation tables and the reasons for our presentation of the non-GAAP information. We have also provided supplemental financial information to our results in the Investor Relations section of our corporate website at www.blucora.com and filed with the SEC on Form 8-K. Now I'll turn the call over to Bill Ruckelshaus. Following his comments, Eric Emans will review the second quarter results and third quarter outlook, then we'll open up the call for your questions.
William J. Ruckelshaus: Good morning. We posted strong double digit growth across both of our business units during the second quarter. Before I review our operating results, I would like to discuss the transaction we announced earlier this morning. Blucora has entered into a definitive agreement to acquire Monoprice in an all-cash transaction valued at $180 million. Monoprice is a rapidly growing profitable company with a significant market opportunity. The addition of Monoprice strengthens our growth profile, diversifies our sources of revenue and profits and brings exposure to online retail where global shoppers continue to migrate for decision support, enhanced selection, convenience, speed of delivery, service and price. We have prepared a brief presentation introducing Monoprice and direct listeners to our webcast where they can follow along. We have also provided an electronic copy of this presentation on the Investor Relations section of our company website should you wish to review separately. We are acquiring privately held Monoprice for $180 million in cash. This transaction is immediately accretive to earnings per share. We expect to close in the third quarter, following customary closing conditions. This transaction was sourced and executed by our internal corporate development team and is consistent with our business and capital deployment objectives. Monoprice really fits our culture and company DNA. The parallels with TaxACT are self-evident, an emerging online franchise in a large market providing quality products and great prices with fantastic service and support. Like TaxACT, Monoprice customers are passionate evangelists of the company and its products. We are tremendously impressed with the Monoprice management team led by CEO, Ajay Kumar, and truly believe they are in the early innings of tapping a great opportunity. Monoprice is a fast-growing provider of quality, attractively priced electronics and accessories for consumers and businesses. Established in 2002, Monoprice leverages direct relationships with product manufacturers and sells directly to customers at monoprice.com. The Monoprice product catalog exceeds 5,000 items across multiple categories. Site traffic is 80% organic and an impressive 40% of visitors arrived at monoprice.com via direct navigation. The company is based in Southern California and operates a distribution center adjacent to its corporate offices. Monoprice operates in large markets that are rapidly moving online. Global consumer electronics is a $300 billion market growing at single digits. The $37 billion online subsegment is forecasted to grow 15% annually through 2016. Monoprice has a passionate and dedicated customer following. Roughly 70% of customer reviews give company products a 9 or a 10 rating. Our survey of customer promoters versus detractors revealed phenomenal net promoter scores of 86 out 100. Customer advocacy is truly a competitive weapon for Monoprice. Monoprice products span categories like audio, video cables, networking, mobile accessories, wall mounts and home video. Monoprice curates its SKU catalog in accordance with strict price and quality standard and has moved into new categories with discipline over time. Monoprice deploys a differentiated model that eliminates many of the links in a traditional supply chain. By direct sourcing from manufacturers, selling directly online and fulfilling from a central automated warehouse, Monoprice brings quality products to customers quickly and at considerable discounts to traditional retail. Monoprice product managers collaborate with over 150 manufacturers in Asia to rapidly respond to new market opportunities without committing significant upfront capital. Monoprice is growing at an impressive clip, catalyzed by the arrival of the current leadership team in 2010 and 2011. Gross margin trends are on the rise, reflecting the company's focus on new product categories with large profit pools. We look forward to working with the Monoprice team to identifying future growth and marketing opportunities. Product category expansion has fueled Monoprice's growth. The current product portfolio includes expansions in pro audio equipment, home theater, Apple and Kindle accessories and computer accessories. The company will continue to evaluate opportunities for a new category entry going forward. Selected other growth opportunities include marketing investment, international expansion and tailored offerings for B2B customers. The financial benefits of this transaction are compelling. Pro forma for the 12 months through June, consolidated revenues exceed $600 million, with adjusted EBITDA approximating $117 million. Pro forma non-GAAP EPS is $2.23 or 14% above pre-transaction level. Effective for Monoprice, Blucora brings a balanced operating mix of core search and emerging digital franchises. Our capability to invest our capital going forward and pursue complementary acquisitions provides further upside potential for Blucora shareholders. Moving now to our quarterly results. Blucora had a solid quarter, with strong performance in both of our operating businesses. Search revenue was up 16% from the prior year, driven by growth in our partner network, as well as growth from our owned and operated properties. As expected, our software partners continue to transition to the revised Google guidelines, and we expect the impact from these transitions to continue throughout the year. Business momentum is strong in other areas of search, however, helping to partially offset ongoing transitions in our software applications. New partner revenue, year-to-date, is encouraging and our pipeline is strong. The InfoSpace sales team continues to win partner business on the strength of its core value proposition, metasearch content, superior monetization and high service levels. This quarter, we made a number of improvements on the back end of our technology platform to drastically reduce time to launch new partners, improve the quality of our search results and add customization capabilities to enhance partner monetization. The team recently moved all search network traffic to the cloud, dramatically reducing IT network complexity while improving response times for partner search results. On the O&O side, we improved site user experience and invested marketing dollars against these enhancements. The InfoSpace team continues to execute well. Now moving to Tax. TaxACT performance in the quarter was strong, with top line growth of 19% from the prior year and income, up 21%, reflecting a solid finish to a successful tax season. During tax season 2012, consumers continued to shift to DDIY and to TaxACT in particular. TaxACT grew DDIY federal e-files 8% in the season, nearly double the DDIY market growth of 4.4%. The TaxACT team delivered last season with core product enhancements, mobile applications and new offerings around tax filing. The team continues to evaluate opportunities, like the Affordable Care Act, and we'll be investing opportunistically in the coming season. With that, I'll turn it over to Eric for more details on our second quarter financials and outlook.
Eric M. Emans: Thanks, Bill. Let me start off by saying my comments today are limited to the consolidated performance and expectations of our search and tax preparation businesses and exclude any operating results or expectations for Monoprice. With that, let's jump into the results for the second quarter of 2013. Second quarter consolidated revenue was $117.2 million and adjusted EBITDA was $29.2 million. Non-GAAP net income was $24.6 million or $0.58 per diluted share, and GAAP net income was $8.4 million or $0.20 per diluted share. GAAP net income reflects a noncash loss on derivative of $2.3 million or $0.05 per diluted share, driven by stock price appreciation in the quarter. We finished the quarter with cash and cash equivalents and short-term investments of $415.5 million and debt principal of $265.7 million or net cash of $149.8 million, which is up $23.8 million from the prior quarter. Turning to our segment performance. Search generated $94.5 million in revenue and $17.9 million of segment income, up 16% and 19%, respectively, from the same period -- same quarter last year. Search performance was driven by revenue generated by our distribution partners, which was up $8.3 million or 12% versus second quarter 2012. Revenue in the second quarter from new distribution partners launched in 2013 represented $4.7 million. Revenue from owned and operated was also up $4.4 million as we continue to invest in marketing to drive end users to our owned and operated properties. Segment income margin came in at 19% for the quarter, up 60 basis points, when compared to the prior period -- prior year period. Segment margin expansion in the quarter was driven by gross margin expansion on our distribution partner mix and increased marketing efficiency on our owned and operated customer acquisition initiatives. Moving on to tax preparation segment. Second quarter revenue was $22.7 million, up 19% from the prior year, and segment income was $14.4 million, up 21%. Segment income margin for the second quarter was 64%. Taking a moment to reflect on the financial results of the tax season, pro forma revenue for the first half of 2013 was $88.5 million and segment income was $46.3 million or segment income margin of 52%. Versus the prior year, revenue was up 8% and segment income was up 7%, both a bit softer than expected, which was driven by greater-than-expected unfunded refund rates, which impacted our software and bank product revenue. Closing on the second quarter results, unallocated corporate operating expense for the quarter was $3.1 million. Let's spend a few minutes talking through our third quarter expectations for each segment. Starting with search. We expect third quarter revenue of $92 million to $96 million and segment income margin of 17.5% to 18%. I would like to provide a quick update on our full year expectations. We expect search revenue year-on-year growth to be a bit north of the 10% discussed during our last call, and we expect fourth quarter revenue to grow modestly on a sequential basis. We are increasing our full year expected segment income growth to be in the mid to high single digits. Moving to the tax preparation segment. We expect third quarter to generate a segment loss of $2.5 million to $2 million on revenue of approximately $1.5 million as we make investments in the off-season for tax season 2013. Unallocated operating expenses are expected to increase approximately $500,000 sequentially, due to professional services associated with M&A activity. On a consolidated basis, and again excluding Monoprice operating results, we expect the third quarter 2013 revenue to be $93.5 million to $97.5 million, adjusted EBITDA of $10 million to $11.5 million, non-GAAP net income of $6 million to $7.4 million or $0.14 to $0.17 per diluted share and net loss of $1.8 million to $800,000 or a loss of $0.04 to $0.02 per share. Please note that our GAAP net loss and EPS guidance does not include an expectation for noncash gains or losses related to our mark-to-market derivative instruments. Also, note the impacts of such gains and losses are excluded from our non-GAAP financial measures. With that, I'll turn the call over to the operator, and we'll be happy to take your questions.
Operator: [Operator Instructions] Our first question comes from Dan Kurnos with The Benchmark Company.
Daniel L. Kurnos: Let me just, obviously, start with the acquisition here. You paid $180 million for it. We know you raised more cash, you have a lot more cash on the balance sheet. Should we consider this as the big acquisition that you were planning on making, call it, within like the 12-month period that I think most of us were expecting? What do you expect to do with the rest of your cash? And what's your appetite for more acquisitions in the near term?
William J. Ruckelshaus: This is Bill. I think this is -- we do consider this a meaningful acquisition for Blucora, and one that I think is going to be a great addition as for the reasons we just talked about. We do have a considerable amount of remaining capital. And certainly, as our businesses, TaxACT and InfoSpace and now Monoprice, continue to perform, that will grow on the balance sheet. And so I think we're going to continue to focus on opportunities to allocate that capital against the businesses we own, whether that's organic or inorganic, and then also keep an eye out for another acquisition of a new company that can extend the portfolio and we'll be opportunistic about that. But certainly, not viewing this as being the final acquisition.
Daniel L. Kurnos: And maybe if you could give us a little bit more color on your thoughts about why going to sort of the third leg here, and we know that you've been interested in the e-commerce space for a while, why go third leg and not an adjacent business?
William J. Ruckelshaus: Yes. So I don't view them as being mutually exclusive, and I know we've used the word -- terminology third leg before. I think the model here, as we've explained in the past and probably we need to continue to explain it, that we really see an opportunity for Blucora to be an owner of multiple businesses. And as a matter of philosophy, we're going to operate these businesses independently. And at the same time, as we think about capital allocation, really place a lot of emphasis on allocating capital against the businesses we own where we see the opportunity to do so. So your question, I think, is a good one, but we don't view those as being mutually exclusive, the new business versus investing in adjacent areas around existing businesses we own.
Daniel L. Kurnos: Great, that's helpful. And just a couple more on the acquisition. Could you maybe just give us a little bit more color in terms of Monoprice? What the balance sheet looks like? What their customer -- active customer base is and their customer growth, and if you expect them to be able to grow above industry growth rates for the foreseeable future?
William J. Ruckelshaus: Yes. So we really like the Monoprice business. We've talked a little bit about some of the components of their model. I think, first and foremost, they have a great team in place that's got a ton of background in the areas directly relevant to what they're trying to do. Certainly, they've been growing in excess of the e-commerce market growth, and we certainly think they have a lot of runway ahead. And the economics of the business are such that they're acquiring customers either through word-of-mouth, organic, direct navigation, as we discussed, which we think is pretty exceptional in terms of the metrics there. But also increasingly through direct marketing, customer acquisition efforts, which are really just getting off the ground and will, I think, offer a lot of potential for the company in the future. And they have good economic funnel analysis around the cost of acquiring a customer and how they're able to monetize and, certainly, monetize within a category, and then it gets even more interesting when you're monetizing across categories, which they're starting to see evidence of.
Daniel L. Kurnos: Great. Let me just switch to search quickly. I don't want to monopolize the time here. Just switching over to search quickly, I'm assuming that Ask's third quarter app reset was primarily due to, shall we say, different agreements with Google than everyone else?
William J. Ruckelshaus: Yes, I think you'll have to form your own conclusions about that. We're not privy to the specifics there.
Daniel L. Kurnos: And then, you saw roughly 17% quarter-over-quarter increase in O&O, if I'm doing my math right here. I know you guys talked about some improvements to the user experience. Maybe you could give us a little bit more color on what's driving that really strong growth and how sustainable is that growth?
William J. Ruckelshaus: Yes. So we're excited about the trends in our owned and operated properties. As you may know, the historic trend has been pressured and certain of the sites declining. To be able to invest in our search experience, and that -- those investments can be back-end platform investments that are, in many cases, not entirely visible to the end user or they can be through the introduction of additional search partner content that enhances the results mix as well as response time, investments that we think we're going to start to see now with our cloud migration. Taken together, what we're able to do is develop -- deliver better results to end users that, hopefully, result in their coming back to the site to conduct additional searches. And as those metrics start to improve, our ability to justify marketing spend to bring users to our sites strengthens as well. So I think it's been an effort across multiple fronts as opposed to any one particular initiative.
Daniel L. Kurnos: Great. And just last one for me and I'll step away. How -- maybe give us an update on how monetization patterns have changed from Q1, if at all, especially with Yahoo! and Bing making aggressive counter pushes to take share?
Eric M. Emans: Dan, this is Eric. We haven't seen a time and -- when you conduct a syndication network, you see a lot of trends at individual partners. And so we're not seeing a ton of change on monetization. And furthermore, we're not seeing a ton of change from the introduction of enhanced campaigns thus far. So I think pretty much standard and no concerns on the monetization front.
Operator: Our next question comes from Gil Luria with Wedbush Securities.
Gil B. Luria: So first of all, on Slide 11 of the presentation for the acquisition, you point out that you still have $288 million of gross cash post-deal. And how much do you need to operate the business on a day-to-day basis? How much of that should we think of as available today for possible future M&A?
William J. Ruckelshaus: Well, I think the way that we think about this is our businesses -- and it's kind of a tiered or laddered equation. So the idea here is to have our businesses, and we know that based on their operating history, they're going to generate excess capital. And so the first question is, can we reinvest that capital back into those businesses in the hopes of -- for better positioning them, introducing new products, generating future returns. And we'll take every opportunity to do that. The next question is, when that capital gets returned to Blucora, we can then think about allocating toward an acquisition. Or if we don't see any good opportunities to do that there, return it to shareholders. I think the way to think about the gross cash is it's excess capital. And the businesses are self-funding right now. And so this is capital that we can deploy toward an acquisition and do so across the businesses we currently own or against a new business.
Gil B. Luria: Got it. And then assuming the $50 million to $55 million of financing on -- that you're going to put on Monoprice, what ROE do you come up with for this deal?
Eric M. Emans: Gil, it's Eric. We're coming up quick on that, looking -- pretty much our expectations, looking out through 2013 as probably low double digits. And then getting close to the 15% target in year 2.
Gil B. Luria: Got it. And then on search, with almost 6 months now since the rules changes, are there any metrics or trends you can talk about? It seems like the results were even or slightly better than you expected in terms of the overall impact. But can you talk a little bit about the pieces? Do you have partners leaving? Do you partners switching from one -- from Google to Yahoo!? Do you have any sense of whether the customers that are now opting in stay longer or more productive search customers? Do you have any sense for some of those detailed metrics that you can share with us?
William J. Ruckelshaus: Yes, so this is Bill. I will say, generally, that the InfoSpace search business is, as you know, is not working exclusively with software providers that are impacted by a lot of these changes over the last 6 to 9 months. And so the impacts at the InfoSpace level are not going to solely reflect the impact of those changes. But with respect to those partners in particular, I think it is, by and large, they're adapting. And this is as we had said and expected earlier in the year. There's a lot of experimentation going on around how it is. They are pairing search with their software content, and I think the ingoing bias on the part of our partners is to continue to work with Google and to work with InfoSpace in this context but -- where that is not possible because of the fall off in conversions there, other search results that we can help them with. I think LTVs on the back end have modestly improved because of the changes to the install practices. But I would also say that it's early in the implementation of these, so it's tough to be precise as to the nature of that.
Gil B. Luria: It would sound like, even 6 months into it, you still don't have a perfect visibility into how this is going to play out. At what point do you think you're going to feel like the visibility and the new way of doing things is going to be improved and good enough for you to be more aggressive in terms of your guidance?
Eric M. Emans: Gil, this is Eric. I guess what I would say is when you -- when we're operating a syndication partner network of over 100 partners and yet, certainly a subsection of those are DLA or software application providers, there's a limited amount of insight that you have into their day-to-day businesses and then there's also certain partners that are in various forms of the transition. So what I would say is, we have confidence. And in our guidance, I mentioned that we believe to grow modestly going into the fourth quarter from the third quarter, which, to me, signals a good sign for our syndication network and that we're heading up. And that's not just a reflection of DLA, but rather a reflection of the entire network.
Gil B. Luria: And finally, Eric, you went through it really quickly. I didn't see it in writing. Would you mind repeating the segment specific Q3 guidance for revenue and segment income?
Eric M. Emans: Yes, you bet. It was for segment income, we are -- for segment revenue for search, we were $92 million to $96 million, and we're expecting about 17.5% to 18% segment income margin.
Gil B. Luria: And Tax?
Eric M. Emans: Tax, we're expecting a loss of $2.5 million to $2 million on segment income and then we think approximately about $1.5 million of revenue, which is pretty consistent with how the business will operate outside of tax season.
Operator: Our next question comes from Alex Paris with Barrington Research.
Joseph D. Janssen: Yes, this is Joe Janssen filling in for Alex. If I can stick with the Monoprice acquisition and -- maybe you can just talk about the margin profile. It seems to be maybe a little bit lower than the core business. I know you said you expect it to grow. Maybe you can just comment what you kind of -- in terms of modeling what the margin profile might look like a year from now in terms of any synergies, corporate take out or costs that you can take out? Maybe you can just comment on that.
Eric M. Emans: You bet, Joe. Yes, this is Eric. Looking at Monoprice, the first thing I would say is, it's a different business than our other 2 businesses. And so I think as you think about it, segment income margin, which I think that's what you're referring to, we actually -- one of the things that attracted us to it, 10-plus percent segment income margin, we feel, is exceptional in the e-commerce space. But a couple of other things that we really like about the business is we feel like we have a 20-plus percent revenue growth or a 20-plus percent segment income grower on an absolute dollar basis, and then we're working with 30% gross margins. And so that, in general, is the profile of the business. But what I would add on to that is the other big attraction for us for Monoprice was just the amount of organic traffic. We called out on the presentation 80% organic traffic, 40% coming from direct navigation to monoprice.com. And so they're very early on in their marketing. And so we feel like there's plenty of upside, and we're really in the early innings of the marketing stage. So hopefully, that helps a little bit with the profile of the business.
Joseph D. Janssen: It does. And I haven't looked at the presentation yet, but the -- on a trailing basis, you referenced $131 million in revenues. How does that compare to the prior period? And then, I guess, I heard your -- you kind of mentioned 20% growth. You mentioned the industry is growing about 15% growth. So call, low 20s is probably your short-term expectations?
Eric M. Emans: Yes. The company has a few -- there's a slide in there on the growth. On an LTM basis, 1/31/2012, they did about $119 million of revenues, so good growth there even having 6 months of overlap. And so yes, I mean, historically, they've grown at the mid to high 20s on revenue. But right now, I think our current expectation until we spend a little more time and develop our plans long term, well, let's just call it 20-plus percent growth.
Joseph D. Janssen: Okay. And switching to search, just 2 last questions. Maybe one, just maybe kind of give us an update in terms of the mobile expansion, where you're in on that as well as, I think, the Google contract. Any news there in terms of getting that renewed? Or should we expect that probably more of Q4 news point?
William J. Ruckelshaus: Yes, this is Bill. I -- there's nothing to report on the Google contract. Obviously, we're focused on our partnership with Google, our partnership with Yahoo! and as it relates to those contracts, mindful of renewal dates on the horizon, but nothing to report at this point. I will say that we are pleased with the progress of -- as we've gone through this year with some of the new implementations and layouts and in compliance with some of the policies that have been articulated. All that has gone very smoothly and feel like our partnership with our search engine partners that our partnerships are on track and healthy. And as it relates to mobile, I think the update there is that we continue to see migration of search to tablets to a lesser degree to handheld and smartphones. We are in the process of working with our partners to make those migrations and to deliver them great search results and optimized search results in non-PC desktop environments. And I would say we're in the early innings with our partners in making those transitions. The monetization is not what it is on desktop. And certainly, that's more the case on the smartphone side of things. And so going through the steps, where we're systematically working with our partners as their traffic begins to migrate to mobile to make sure that the experience is rich and the results are relevant. A lot of the mobile searches are more local in nature and so you have to make sure that the result set adapts as the consumer use adapts, but also to focus on monetization. So we feel good about the progress we're making, and we're starting to introduce now some of our own search brands in mobile as well. And so it feels like we're on the beginning of a transition that's going to be years in the making.
Operator: Our next question comes from Mitch Bartlett with Craig-Hallum.
Mitchell O. Bartlett: On Monoprice, I wonder if you could just kind of detail the landscape, the competitive landscape. Are there a lot of kind of deep discount private label guys like Monoprice emerging? I know Amazon got into the business to some degree. Maybe you could just sketch that out versus the kind of traditional branded folks.
William J. Ruckelshaus: Yes. Yes, this is Bill. I think the landscape, as we would describe it, is pretty fragmented, historically, a lot of these products. And the SKU diversity within each of these product categories, the company is in 12 to 13 different products currently that revolve around networking and cables and switches and computer accessories. There's an endless amount of SKUs in these categories. They're very deep and -- either you can consume yourself if you're focused on stocking the shelves with every last SKU with an enormous amount of complexity. That hasn't been the model for Monoprice, but is often the model with a lot of the traditional retailers out there. As you pointed out, there is -- the traditional model is one that involves a branded manufacturer, often times, sourcing where there's multiple links in the supply chain, and then ultimately distributing through a retail partner or a series of retail partners. And the prevalence of private label in there is absolutely many of the traditional retailers offer private label products. As you mentioned, Amazon, has moved into that business as well. I would say that the most significant contrast with Monoprice is that, first of all, they are branded. They're producing branded products that are Monoprice branded and available almost predominantly today through monoprice.com, which is a different approach than many other players. And so they don't really think of themselves as private label. But they also focus on more of a curated approach to product management and what it is they're going to sell. So they're very choosy about which categories they enter and give a lot of thought around what SKUs within those categories are going to be of exceptional quality at really fantastic prices. And so in some ways, the model itself and the whole mindset is not necessarily to compete head-on with many of the traditional retail brand offerings out there.
Mitchell O. Bartlett: And then maybe you could speak to how Monoprice fits inside of Blucora, synergies today, shared resources, what that might look like in the future. Is this -- I mean, this is a traditional e-commerce retailer here, so has some kind of unique characteristics versus the tax businesses. And might it be kind of the platform that grows more e-commerce in the future?
William J. Ruckelshaus: Yes. I know that's -- Monoprice is in a different business than TaxACT, which is in a different business than InfoSpace. It's certainly true. I would say that Monoprice and TaxACT are both product companies. It's an important distinction. InfoSpace, essentially a media company that's supported by advertising and focused on consumer content. The -- and with product companies, you have a lot of common attributes. So you have a focus on things like customer ownership and lifetime value and brand equity and delivering great service. And so those, call them, horizontal activities are going to become and certainly across TaxACT and Monoprice and facilitating conversations across the teams to share best practices is absolutely on strategy. The plan is to run these businesses independently just as we have TaxACT and InfoSpace.
Mitchell O. Bartlett: And then finally, for me, just on Monoprice. You mentioned that it has a great opportunity to increase kind of marketing investment. It's been fairly organic up until now. What does that really mean? Are you guys going to put pedal to the metal at some point? Are you going to test? Are you going to just gradually move the needle? Maybe you could speak to that.
William J. Ruckelshaus: Yes. I think it's probably early to give specifics on that. But I think the point we really wanted to emphasize is that this is somewhat of an undiscovered brand at this point. We do think that given the quality of the products they're presenting -- at the price points they're presenting and wrapped in the service that they're -- that they have put in place and the support levels that this is a brand that is really on the rise and has an opportunity to become a mainstream consumer brand. And so what we have committed to do with Ajay Kumar, the CEO at Monoprice, is to give a lot of thought with his team around how it is we can vest -- you can invest against that vision. Because we really see that as being a source of upside and it is not something that historically the company has spent a lot of time or resources investing against.
Operator: Our last question comes from Scott Schneeberger with Oppenheimer.
Danny Aliperti: This is Danny Aliperti filling in for Scott. With regards to the Affordable Care Act, do you anticipate a benefit in future years? If yes, could that happen as soon as the next tax season you think?
Eric M. Emans: Danny, this is Eric. Look, the Affordable Care Act is something that we're spending some time around. We like it because it's an opportunity to continue the conversation with our existing filers, and then hopefully it will bring us into the minds of new filers. There's a lot of things still being worked out as far as when the forms are going to be available and so on and so forth. So we think it's an opportunity, it's a little challenging to size that opportunity, but we're not going to get too far out in front of ourselves with our plans. And I would just say that this is something that the TaxACT management team is very focused on, and we expect them to do an incredible job like they always do serving their digital do-it-yourself customers.
Danny Aliperti: Okay. And also on the market share gains you alluded to in TaxACT, can you take us a level deeper on the new services that you alluded to that was driving that?
Eric M. Emans: This is Eric, again. I would say that I wouldn't specifically call our market share gains to any introduction of a new product. I think it just goes to the overall offer from TaxACT. It starts with the value position and their value position in the space and their quality product. And then yes, ancillary services are a big part, and we tried a couple of new things this year with Audit Defense and LegalACT, and have a lot of learnings from that and as well as some financial benefit. But I really think it's the total package that speaks to the customer and not any ancillary service in particular that's driving that growth.
Operator: Ladies and gentlemen, this does conclude the Blucora second quarter earnings call. You may all disconnect, and have a wonderful day.